Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Q2 2020 Bio-Rad Laboratories, Inc. Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Kevin Han. Please go ahead, sir.
Kevin Han: Thank you, operator. Good afternoon and thank you all for joining us. Today, we will review the second quarter of 2020. And with me on the phone today are Norman Schwartz, our Chief Executive Officer; Ilan Daskal, Executive Vice President and Chief Financial Officer; Andy Last, Executive Vice President and Chief Operating Officer; Annette Tumolo, President of the Life Science Group, and Dara Wright, President of the Clinical Diagnostics Group. Before we begin our review, I would like to caution everyone that we will be making forward-looking statements about management's goals, plans and expectations, our future financial performance and other matters. These statements are based on assumptions and expectations of future events that are subject to risks and uncertainties. Included in these forward-looking statements are statements regarding the impact of the COVID-19 pandemic on Bio-Rad's results and operations, and steps Bio-Rad is taking in response to the pandemic. Our actual results may differ materially from these plans and expectations, and the impact and duration of the COVID-19 pandemic is unknown. We cannot be certain that Bio-Rad's responses to the pandemic will be successful, that the demand for Bio-Rad's COVID-19-related products is sustainable or that Bio-Rad will be able to meet this demand. You should not place undue reliance on these forward-looking statements, and I encourage you to review our filings with the SEC where we discuss in detail the risk factors in our business. The company does not intend to update any forward-looking statements made during the call today. Our remarks today will also include references to non-GAAP net income and non-GAAP diluted income per share, which are financial measures that are not defined under generally accepted accounting principles. Investors should review the reconciliation of these non-GAAP measures to the comparable GAAP results contained in our earnings release. I'll now turn over the call to Ilan Daskal, our Executive Vice President and Chief Financial Officer.
Ilan Daskal: Thank you, Kevin. Good afternoon. Thank you all for joining us, and we hope that you and your families are well and staying healthy during these challenging times. And also, we want to officially welcome Kevin Han as our new Head of Investor Relations. Kevin comes to Bio-Rad with a breadth of experience in finance, capital markets, financial analysis and investment management, primarily in the life sciences and medical technology space. We believe that he will make an excellent addition to Bio-Rad. Now before I begin the detailed quarterly discussion, I would like to ask Andy Last, our Chief Operating Officer, to provide an update on Bio-Rad's operations in light of the current pandemic-related environment that we are experiencing globally. Andy?
Andy Last: Okay. Thank you very much, Ilan. And I'd like to start by taking a few minutes to review our current state of operations around the world. Before I begin, I'd like to recognize our employees around the world who continue to make extraordinary efforts to serve our customers under the current circumstances. So thank you to all of our employees for your dedication and continued commitment to the company. Your efforts are truly appreciated. So since the beginning of the pandemic, we have been focused on three key areas to manage through this challenging period: the ongoing safety of our employees; continuing manufacturing operations to ensure product supply and support of our customers; and making sure we continue to make progress on our core strategies. On employee safety, we have worked hard to put measures in place to guard the well-being and safety of our employees. Early on, we implemented work-from-home globally for all employees who are not essential to maintaining ongoing production and core R&D. And we continue to have this policy in place in the US. In Asia, return back to the workplace resumed relatively faster than the rest of our regions, and we are now starting to see resumption in Europe as well. We have requirements in place for social distancing, wearing of masks, temperature checks, contact tracing and, of course, remote working from home depending on the region. All of these measures have served to minimize the number of cases we have experienced throughout Bio-Rad. Our manufacturing operations team have also responded extremely well. Early on in the pandemic, we experienced some supply chain disruptions as we ramped up production to meet the increased demand of mainly our PCR instruments, but reagents, too. Today, we are in a more appropriately scaled position to meet demand, and we have room to continue expanding production should the need arise. Lastly, with much time and energy were spent initially to manage through the impacts of the global pandemic, we have adjusted extremely well to the new working environments and believe that we have executed well given the situation. We continue to work on our core initiatives and strategies and look forward to sharing more details later this year. So with that overview, I'd like to pass it back to Ilan. Thank you.
Ilan Daskal: Thank you, Andy. And now I would like to review the results of the second quarter. Net sales for the second quarter of 2020 were $536.9 million, which is a 6.2% decrease on a reported basis versus $572.6 million in Q2 of 2019. On a currency-neutral basis, sales decreased 4.4%. On a regional basis, strength in Asia was offset by weakness in other regions. As Andy alluded, the pandemic resulted in a significant change in the mix of product demand across our portfolio. We saw strong demand for products associated with COVID-19 testing and related research. However, we saw lower demand in the rest of our business. We estimate that the COVID-19-related sales were about $71 million in the quarter. Sales of the Life Science Group in the second quarter of 2020 were $252.1 million compared to $212.4 million in Q2 of 2019, which is an 18.7% increase on a reported basis and a 20% increase on a currency-neutral basis. The majority of the year-over-year growth in the second quarter was driven by our core PCR products, Droplet Digital PCR and Process Media. Our core PCR and Droplet Digital PCR products revenue increases were driven by strong demand for COVID-19-related products. Growth overall in the Life Science segment was offset by softer academic research demand as these labs around the globe were operating materially below capacity. Process Media, which can fluctuate on a quarterly basis, saw significant year-over-year growth in the quarter, which was primarily due to an easy compare over the same quarter last year. Excluding Process Media sales, the Life Science business grew 14.1% on a currency-neutral basis versus Q2 of 2019. On a geographic basis, Life Science currency-neutral year-over-year sales grew in Asia and in Europe, while the Americas were about flat. We continue to be excited about our Droplet Digital PCR platforms. The unique sensitivity and specificity of the technology continues to open up new opportunities and applications. During the current pandemic, it is being deployed to monitor SARS-CoV-2 prevalence in wastewater streams. Sales of the Clinical Diagnostics products in the second quarter were $283.2 million compared to $357.1 million in Q2 of 2019, which is a 20.7% decline on a reported basis and an 18.7% decline on a currency-neutral basis. During the second quarter, Clinical Diagnostics segment experienced weakness across all of its product lines due to the reduced demand from lower noncritical hospital and clinic visits. On a geographic basis, the Diagnostics Group posted declines across all regions. We continue to execute on our new product development strategy. We launched in the second quarter the GelDoc Go Imaging System, which provides a benchtop imaging solution in a compact and automated package. We also launched a new label claim for our Geenius HIV 1/HIV 2 Supplemental say, which is now approved by the FDA for using blood and plasma donation center settings. The reported gross margin for the second quarter of 2020 was 54.6% on a GAAP basis and compares to 53.7% in Q2 of 2019. The current quarter gross margin benefited mainly from better product mix and higher utilization, partially offset by an $8 million customs duty charge taken in the quarter relating to products shipped primarily in prior years. This $8 million expense impacted the gross margin by about 150 basis points. Amortization related to prior acquisitions recorded in cost of goods sold was $5 million compared to $3.8 million in Q2 of 2019. SG&A expenses for Q2 of 2020 were $189.3 million or 35.3% of sales compared to $201.3 million or 35.1% in Q2 of 2019. Reduction in SG&A expenses was the result of disciplined hiring and lower discretionary spend, primarily travel and marketing expenses, due to the impact of COVID-19 as well as ongoing cost savings initiatives. The year-over-year decrease on a dollar basis was $12 million, and we expect that most of the discretionary cost savings will gradually come back over the coming quarters as we return back to the workplace. Total amortization expense related to acquisitions recorded in SG&A for the quarter was $2.3 million versus $1.6 million in Q2 of 2019. Research and development expense in Q2 was $52 million or 9.7% of sales compared to $50.1 million or 8.8% of sales in Q2 of 2019. Q2 operating income was $51.7 million or 9.6% of sales compared to $56.4 million or 9.8% of sales in Q2 of 2019. Looking below the operating line, the change in fair market value of equity securities holdings, added $1.183 billion of income to the reported results and is substantially related to the holdings of the shares of Sartorius AG. Also during the quarter, interest and other income resulted in net other income of $10.7 million compared to $3.2 million of expense last year. Q2 of 2020 includes an $8.9 million dividend from Sartorius, which was declared in June and was paid in July. In 2019, the dividend was declared in March and was paid in April. The effective tax rate for the quarter was 22.4% compared to 22.2% in Q2 of 2019. Reported net income for the second quarter was $966.4 million and diluted earnings per share were $32.15. This is an increase from last year and is substantially related to changes in valuation of the Sartorius Holdings. Moving on to the non-GAAP results, looking at the results on a non-GAAP basis, we have excluded certain atypical and unique items that impacted both the gross and operating margins as well as other income. These items are detailed in the reconciliation table in the press release. Looking at the non-GAAP results for the second quarter, in cost of goods sold, we have excluded $5 million of amortization of purchased intangibles and the negligible restructuring benefit. These exclusions moved the gross margin for the second quarter of 2020 to a non-GAAP gross margin of 55.5% versus 54.4% in Q2 of 2019. Non-GAAP SG&A in the second quarter of 2020 was 33.9% versus 34.5% in Q2 of 2019. In SG&A, on a non-GAAP basis, we have excluded amortization and purchased intangibles of $2.3 million, legal-related expenses of $2.6 million and restructuring and acquisition-related costs of $2.4 million. Non-GAAP R&D expense in the second quarter of 2020 was 9.8% versus 8.8% in Q2 of 2019. In R&D, on a non-GAAP basis, we have excluded about $700,000 restructuring benefit. The cumulative sum of these non-GAAP adjustments result in moving the quarterly operating margin from 9.6% on a GAAP basis to 11.8% on a non-GAAP basis. This non-GAAP operating margin compares to a non-GAAP operating margin in Q2 of 2019 of 11.1%. We have excluded certain items below the operating line, which are the increase in value of the Sartorius equity holdings of $1.183 billion, a $1.1 million of loss associated with venture investments and an $11.7 million gain on the sale of a small noncore business that was part of our other operations segment. The non-GAAP effective tax rate for the quarter was 23.8% compared to 26.5% in Q2 of 2019. The decrease in rate was driven by a change in our geographic mix of earnings and the taxation of our foreign earnings. And finally, non-GAAP net income for the second quarter of 2020 was $48.3 million or $1.61 diluted earnings per share compared to $44.8 million and $1.49 per share in Q2 of 2019. Moving on to the balance sheet, total cash and short-term investments at the end of Q2 were $1.037 billion, which was roughly unchanged from the end of Q1 of 2020. During the second quarter, our inventory increased by about $71 million from Q1 of 2020 levels. The increase of inventory that we saw in Q2 of 2020 was driven by normalizing the level of our safety stock resulting from the cyber-attack in late Q4 of 2019, and our decision to secure additional components given the supply chain disruption that we experienced during the earlier part of the year. We expect to reduce inventory levels over the next three quarters. During the second quarter, we did not purchase any shares of our stock. In July, our Board refreshed our capacity authorizing a $200 million increase to our share buyback program, and we now have a total of $273 million available for potential share buybacks. For the second quarter of 2020, net cash generated from operating activities was $92.1 million, which compares to $155 million in Q2 of 2019. This reduction mainly reflects the change in working capital and the timing of the Sartorius dividend tails. The adjusted EBITDA for the second quarter of 2020 was 18.6% of sales, and excluding the Sartorius dividend, was 16.9%. The adjusted EBITDA in Q2 of 2019 was 16%. Net capital expenditures for the second quarter of 2020 were $18.1 million, and depreciation and amortization for the second quarter was $34.7 million. Moving on to the guidance, we continue to be uncertain about the duration and impact of the COVID-19 pandemic. With that said, we currently believe that the third quarter year-over-year currency-neutral sales may be flat to up 5%. This assumes that the third quarter will see a gradual improvement from June levels, a smaller relative benefit of COVID-19-related product sales versus Q2 and the modest benefit from our serology test. We continue to assess various demand and supply indicators as well as return to the workplace protocols. We continue to believe that the COVID-19 impact will be transitory, and we would expect gradual recovery in the second half of the year, but currently, it is difficult to predict the rate of recovery that we might experience. That concludes our prepared remarks, and we will now open the line to take your questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Dan Leonard from Wells Fargo. Your line is now open.
Dan Leonard: Thank you. So a question on the COVID surge demand in the quarter. How much of that 71 million was equipment-related versus consumables? And do you have any efforts to perhaps be more directly involved in testing? So there must be 100 qPCR tests out there, but I don't think Bio-Rad has one yet and so curious for your thoughts on that.
Andy Last: Okay. Dan, hi, this is Andy here. I think what we'd say is the majority of the sales there were instrument. Of course, we do have reagents, too, and on our core PCR business there, some embedded Droplet Digital PCR sales, too. That was the answer to the first part of your question. Could you just repeat the second part?
Dan Leonard: Yeah. The second part was, do you have any aspirations to be more directly involved in the testing effort? I mean I noticed you don't have your own qPCR test, and I'm uncertain if you have plans to develop one or otherwise.
Andy Last: Yes. So we've got a ddPCR EUA that was approved. And I'll allow Annette – I'll pass to Annette to answer the question on the qPCR question.
Annette Tumolo: Okay. Thanks, Andy. Yeah, as Andy said, we have quite a large footprint in instruments, but we did see dramatic increase in demand for our reagents and our plastic consumables that go along with it. We chose to put a Droplet Digital PCR COVID test kit out first, and we are always evaluating whether putting a qPCR test out would make sense for us. I mean, it may, and that's something that we could always choose to do.
Dan Leonard: Okay, thank you. And my follow-up question, what are your expectations on the pace of academic, government and market demand into Q3? It seems you're over-indexed there in Life Sciences, and it seems like that's an important variable in the Q3 outlook. Thank you.
Ilan Daskal: Andy, do you want to take that?
Andy Last: Sure. I can take that. So we expect to continue to see a gradual increase in opening as we go through Q3. We're not expecting any sudden changes in pace, to be fair. We saw a gradual opening through Q2, picking up in the second half a bit. And we're thinking the same as we go through Q3.
Dan Leonard: Thanks for the color.
Ilan Daskal: Thank you, Dan.
Operator: Thank you. Our next question comes from the line of Patrick Donnelly from Citi. Your line is now open.
Patrick Donnelly: Great, thanks. Ilan, maybe one for you on the margins, very encouraging and particularly in this environment to see the expansion there. Can you just talk through the strength, particularly with the onetime headwind you guys faced? And then the expectations going forward, how much of it was mix, as you kind of talked about the COVID benefit maybe a little smaller as we go forward? How much was related to that versus some of the internal initiatives that you guys have had going for some time here?
Ilan Daskal: Yeah. Thank you, Patrick. I appreciate the question. So yes, this quarter, we had, obviously, a better gross margin due to the better mix. As well as some benefit from the inventory buildup that started post Q4 of 2019. Generally speaking, when I think about the full year, I don't think that there will be a big impact on the full year gross margin. We plan to take the utilization a little bit lower in the second half since we have built up some inventory this quarter. And also it depends on the mix that we'll experience in the second half, but assuming that we'll have a gradual continued recovery out there. It will have a balancing kind of effect on the overall kind of mix and the benefit on the gross margin going into the second half.
Patrick Donnelly: Okay. That's helpful. And then maybe just on the Clinical Diagnostics side. Can you just talk through the trends as we progressed through the quarter? How much improvement did you see as we went through June there? And then also, as we've seen this reuptick of COVID in July, I've heard some kind of say the elective stuff has pulled back a little bit. It'd be great if you could just talk through what you've seen quarter-to-date as well on that side. Did you see things come back and then take a little bit of a pause or have things progressed pretty well?
Ilan Daskal: Dara, do you want to take that question?
Dara Wright: Sure. We did start to experience some modest recovery in June and exactly, as you said, still muted by selective procedures and routine testing really not being back to historical averages. So we're in watchful waiting, but we did see an improvement in June.
Patrick Donnelly: Great and maybe a last one, just on the ddPCR side, are you guys getting this technology in front of customers that perhaps you weren't accessing before COVID, meaning has the demand upticked to a level where the installed base is all of a sudden strengthening quite a bit? And the technology is getting out there in a more broad sense, whereas on the other side of COVID now, maybe you have a bit of a stronger franchise, given the acceleration there?
Ilan Daskal: Yeah, I'll address that question to Annette.
Annette Tumolo: Sure. I think the general answer that – to your question is, yes, that's likely what's happening. We've been experiencing good growth with this platform for quite a long time, and we continue to see it. We had not focused the technology on infectious disease. And I think what has emerged is how it can be quite useful in this area in virology, in particular. So I think we'll have kind of a lasting effect there. And certainly, we've already been present in wastewater monitoring for wastewater that's being reused, they monitor for pathogens. They're using the platform because it's highly sensitive and very precise. It's being used by governmental agencies for environmental monitoring, public safety, for swimming areas. So I think we're seeing an uptick there, people getting in – monitoring for those reasons are now saying, gee, maybe we should be looking to monitor for SARS. So I think we're going to get some lasting kind of customers in that area as well.
Patrick Donnelly: Very helpful, thank you.
Ilan Daskal: Thank you, Patrick.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Jack Meehan from Nephron Research. Your line is now open.
Jack Meehan: Thanks, good afternoon. I was hoping just a little bit more granularity on the $71 million benefit from COVID in the quarter. How much of that was in Life Sciences versus whatever benefit you might have seen with serology on the diagnostics side?
Andy Last: Hi, Jack. Yeah. This is Andy. The majority came through the Life Science PCR and Digital PCR side of the business. Contribution from serology was very modest. We launched our product late in the quarter, and so it was a very modest contribution.
Jack Meehan: Okay. And I guess you were capacity constrained in the second quarter. And I know your third quarter guidance calls for a step down sequentially in the contribution. But I guess, why would that be the case if the manufacturing footprint is where it needs to be going into the summer?
Andy Last: Annette, do you wish to answer that question?
Annette Tumolo: Sure. I can take that. So at the beginning of this pandemic, we experienced, as did many others, a real upswing in demand, and we spent several months in the end of the first quarter and into the second quarter, scaling our manufacturer to meet demand across our platform, our reagent and our plastics consumables lines. I think we're in a good place now to meet demand and to scale further if we have to. We do have to watch out for supply chain constraints as our – other life science companies do as well. But I think moving into the third quarter and through the end of the year, we've gotten ourselves into a good position to meet demand.
Jack Meehan: Got it and then if I look at the Life Science results, if the COVID tailwind was concentrated there, and you had the biochromatography Process Media tailwind I'm getting something like the core business, I don't know if my math is right, I'm trying to do it while we go, but down well over 20%. Can you just talk about some of the additional products and the expectations for a recovery going into the back half within the Life Science segment?
Andy Last: Yes. I think when we look at that question, I think we feel our business is kind of down in line with the majority of the other reported – reports for Q2 in the kind of high-teens percentage. We don't see our core Life Science being down over 20%.
Ilan Daskal: And the way we think about it, Jack, also thinking about the second half, obviously, part of our guidance for the third quarter and is a continued gradual recovery, and that goes back to a more normalized kind of mix throughout the portfolio.
Andy Last: Yeah. I didn't – I think we felt quite comfortable with where we were given the market conditions as we netted it out, so nothing new.
Annette Tumolo: That's right. Quite in line with the market dynamics, I think.
Jack Meehan: Got it and if I can squeeze in one final one. I was curious – just thoughts around capital allocation, the Sartorius stake, if you just look over the last 1.5 years, it's gone from almost $3 billion to closing in on $7 billion now. Does the pandemic change your views at all around the strategic nature of that and looking to build it or the way you think about potentially pursuing larger M&A?
Norman Schwartz: So obviously, Sartorius has continued to do very well. Hence, the increase in their market cap. It's – obviously, it's been a pretty good investment for us.
Ilan Daskal: Yeah. I would add also, Jack, in terms of the overall capital allocation. I mean, it's a similar strategy that we have been discussing in the past year. We have continued interest with the strategy of those smaller tuck-in acquisitions, which we continue to pursue as well as with a much higher appetite for entertaining a larger transaction. And that's obviously – will be more opportunistic. I mean, you need to wait for those to become available. And again that will be complimented by the share buyback, which the Board now authorized to increase the plan.
Jack Meehan: Great, thank you all.
Ilan Daskal: Thank you, Jack.
Operator: Thank you. Our next question comes from the line of Brandon Couillard from Jefferies. Your line is now open.
Brandon Couillard: Thanks. Start with Ilan maybe. As you look at the back half of the year, very specifically around the third quarter, any parameters you can share with us as far as the step down sequentially of the COVID tailwinds? Is it over half or less than half you expect to capture in the third quarter? And then if you look at the OpEx line, a significant amount of leverage in G&A in the second quarter, how much of that spend comes back into the model in the second half of the year?
Ilan Daskal: Yeah. Thank you, Brandon. I think to your first question, I think it's a little bit premature to assess how Q4 is going to shape up. We can tell you, based on the last several months that a lot is happening every few weeks. So I don't know that the general seasonality that we experience every year will be similar this year. Thinking about the operating expenses, so most of the savings specifically this quarter are going to come back at some point, I mean, and it will take a few quarters. With that said, I can tell you that, obviously, that we will have to revisit kind of how do we spend the discretionary expenses, and how do we manage potentially with less travel, et cetera. So if I have to kind of categorize it, most of it is still associated with discretionary, specifically this quarter. Some of it is associated with our long-term initiatives to reduce our operating expenses. And as you can see also on the R&D side, we continue to invest on a dollar basis actually, it was slightly higher. We do not have any intention to reduce our R&D investment.
Brandon Couillard: Maybe one for Annette, on ddPCR, let's get an update now, I guess, six or eight months into the launch of the QX ONE platform, specifically which customers you feel are adopting fastest, what percent of new placements there are or upgrades from the legacy system? Anything you can share with us on how that launch is proceeding.
Annette Tumolo: Sure. Well, fortunately, it's proceeding quite well. And the primary segment where we focused this product was biopharma and to a large extent in the QC and manufacturing parts in the cell and gene therapy markets. And we have many customers who adopted our QX200 for that application, and we see some of those customers adding QX ONE to their repertoire. We see some of those customers looking towards, gee, I like the QX ONE, maybe I'll convert to QX ONEs. But we're pleased with the progress that the product introduction has made.
Brandon Couillard: Just a quick question, Ilan, just to confirm, the non-GAAP gross margins, did that still include the $8 million customs charge? I just want to make sure you didn't back that out of the non-GAAP adjustments.
Ilan Daskal: Yeah, it does. I did not take it out. That's correct. And it's about 150 basis points.
Brandon Couillard: Okay. So margins would have been 150 better, excluding that. Okay. Very good, thank you.
Ilan Daskal: Thank you.
Operator: Thank you. At this time, I'm showing no further questions. I would like to turn the call back over to Ilan Daskal for closing remarks.
Ilan Daskal: Thank you, operator. Thank you, everyone, for joining our call today and we look forward to connecting with you in the near future.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.